Operator: Hello everyone and welcome to the Expro Third Quarter 2023 Earnings Presentation. My name is Emily, and I will be coordinating your call today. [Operator Instructions] I will now turn the call over to Quinn Fanning, Chief Financial Officer. Please go ahead.
Quinn Fanning: Welcome to Expro's third quarter 2023 conference call. I am joined today by Expro's, CEO, Mike Jardon. First Mike and I have some prepared remarks then we will open it up for questions. We have an accompanying presentation on our third quarter results that is posted on the Expro website, expro.com under the Investors section. In addition, supplemental financial information for the third quarter and prior periods is downloadable on the Expro website, likewise under the Investors section. I would like to remind everyone that, some of today's comments may refer to or contain forward-looking statements. Such remarks are subject to risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such statements speak only as of today's date and the Company assumes no responsibility to update forward-looking statements as of any future date. The Company has included in its SEC filings cautionary language, identifying important factors that could cause actual results to be materially different from those set forth in any forward-looking statements. A more complete discussion of these risks is included in the Company's SEC filings, which may be accessed on the SEC's website sec.gov, or on our website again at expro.com. Please note that any non-GAAP financial measures discussed during this call are defined and reconciled to the most directly comparable GAAP financial measure in our third quarter 2023 earnings release, which can also be found on our website. With that, I would like to turn the call over to Mike.
Mike Jardon: Good afternoon everyone. As Quinn noted, we posted slides with Q3 highlights to the Expro website. We will refer to several of these slides during our prepared remarks today. In my remarks this afternoon, I will begin by reviewing the third quarter financial results presented in today's earnings release. I will also discuss the overall macro environment, which we believe supports a favorable multiyear outlook for energy services and the international and offshore markets to which Expro is most levered. Quinn will then share our revised outlook for the fourth quarter full year 2023. As highlighted in our press release, third quarter revenue was $370 million and adjusted EBITDA was $50 million or 14% of revenue. Adjusted EBITDA for the three months ended September 30 includes $15 million of LWI related demobilization and other unrecoverable operating costs. Excluding such costs, the adjusted EBITDA would have been $66 million or 18% of revenue. Our net loss for the third quarter was $14 million or $0.13 per diluted share compared to a net income in the second quarter of $9 million or $0.08 per diluted share. Adjusted net income for the third quarter of 2023 was $6 million or $0.06 per diluted share compared to the second quarter adjusted net income of $19 million or $0.17 per diluted share, primarily reflecting lower adjusted EBITDA. Our third quarter was a challenging quarter with headline results and several discrete issues masking what we believe to be a favorable, long-term outlook and good business momentum for Expro. We acknowledge headwinds in certain geographies and several Expro specific challenges as well, all of which we are addressing with appropriate urgency. We also want investors to understand underlying business trends and what we are doing to capitalize on these trends. As a recap, on September 27th, we issued a press release describing an incident offshore Australia that occurred on September 19th that involved our vessel deployed LWI system and our suspension of vessel-deployed LWI operations. We have not yet recovered our equipment, but we are coordinating recovery operations with our customer and other stakeholders, and expect to recover our equipment within the next several months, after which we will then be able to determine the time and cost required to return our LWI system to operational status and a path forward for our vessel-deployed LWI business. We believe that, there is strong customer demand for cost-effective subsea interventions and vessel-deployed light well solutions. And that the value proposition for our technology is compelling. Less clear at this point is the best service delivery alternative and most appropriate apportionment of commercial risk amongst stakeholders. As we gather additional information and refine our go-to-market strategy, we will try to be as transparent with investors as circumstances permit. Quinn will have some additional comments on this topic in a few moments. In addition to LWI related costs, our third quarter results reflected reduced activity in our North and Latin America region. NLA results fell short of expectations for several reasons. First, revenue from our U.S. onshore tubular running services business, which is a part of our well construction product line was down about 10% sequentially to approximately $7 million, continuing what has been a multi-quarter reduction activity and weaker pricing in the U.S. onshore TRS market. Overall, Expro currently generates less than 5% of its revenue from U.S. onshore TRS operations, but quarterly revenue is about 40% lower than our expectations, when we prepared our 2023 budget. Similarly, the quarterly shortfall and contribution margin has been about $3 million. Consequently, we are simply not generating acceptable returns from this business. In our view, there is too much marketed TRS capacity in the U.S. onshore market, and several competitors appear to be prioritizing market share more so than pricing. As a result, we have begun to rationalize our TRS operating footprint in the U.S. land market and to redeploy equipment to select U.S. basins as well as to international markets. While rationalizing costs and repositioning assets may take a few quarters, I believe, we will achieve better utilization, pricing and returns with a more focused U.S. onshore strategy. Second, consistent with recent comments from some of our public peers, Q3 results also reflect a drilling related softness in some of the offshore markets within NLA, which we believe will rebound over the near to medium-term. In Mexico, a series of dry wells negatively impacted scheduled well test activity, which is captured within our workflow management product line. In addition, during the third quarter, several contracted rigs in the U.S. Gulf of Mexico and the Caribbean were undergoing maintenance or conducting non-drilling operations which negatively impacted offshore TRS activity within the NLA region. Relative to expectations, the impact on Q3 revenue and contribution margin was approximately $17 million and $10 million, respectively, in NLA. As noted in our press release, sequentially lower revenue resulting from dry wells and rig schedules should be transitory in nature, and we expect a rebound in NLA offshore activity in the coming quarter. Results for Europe and Sub-Saharan Africa, the Middle East, North Africa, and the Asia Pacific excluding LWI regions were generally consistent with what our expectations were in the quarter. Activities picking up and our business mix is trending in a positive direction. In addition to a number of technology awards that are highlighted in our press release, we had a number of operational and commercial highlights during the third quarter. In North and Latin America, we delivered a well cementing project for a large international operator in the U.S. Gulf of Mexico. Compared to offset wells, we saved approximately 18 hours of cement related drill out, clean out and waiting on cement time. We are building momentum within our cementing technologies offering that was bolstered with the recent acquisition of cementing specialist DeltaTek. As we have discussed on previous earnings conference calls, DeltaTek supplements our offering of low-risk, open water cementing solutions, including pure technology, which allows customers to increase operational efficiency, reduce rig time and costs, and improve the quality of cementing operations. In the Europe and Sub-Saharan Africa region, our Eni Congo project designed, construct, operate and maintain a fast track onshore LNG pretreatment facility continues to progress on time and on budget with the first production scheduled for the first half of 2024. During the third quarter, the Eni Congo project team achieved 250,000 hours LTI free, and long lead items have begun to arrive on-site for assembly. We really appreciate the Congo team's dedication to safe and sustainable operations and best-in-class service delivery. The Congo facility expansion is designed to allow incremental gas production for low carbon electricity generation. It will link to Eni's offshore flooding LNG operations, supporting both the local energy market and increased global demand for LNG to help to secure energy supplies back to Europe. In the Middle East and North Africa, Expro completed the first worldwide installation of our Kinley check valves using a non-explosive technology Omani customer that was challenged with a failed electric submersible pump on a production well. Following two successful runs and a gas lift simulation, the well achieved over 2,000 barrels per day production. Lastly, in the Asia Pacific region, we achieved 5.5 million man hours without lost time incident, which is a tremendous testament to the Asia Pacific team's commitment to overall champion safety. Also in Asia Pacific, Expro's Octopoda annulus intervention technology was utilized to assist with the remediation of sustained casing pressure for a major LNG project. So on success of the work provided, Octopota is now being used on a multi-well trial project. Octopoda is the only certified annual intervention system in the world that enables direct intervention of a live annulus without the expense of a heavy work over rig and with a reduced environmental footprint. The system offers a safe and efficient method for addressing sustained casing pressure. It can be deployed to replace annulus fluid, increased hydrostatic pressure and solve casing shoe leaks by placing sealing material on the bottom of the annulus. Utilizing a unique design, Octopoda is deployed on annulus inlets, removing work over rig requirements, offering an alternative that can be rapidly deployed across all types of installations, both onshore and offshore to maximize operational up time by reducing overall HSE exposure. In terms of commercial activity, we started 2023 with a healthy order book, and I am pleased that we have continued to build on this momentum. During the third quarter, we captured approximately $235 million in new contract awards, including an integrated service contract worth roughly $30 million for a customer in Norway in which Expro will provide drilling, well test, subsea and our proprietary coil host services. Again, just as a reminder, CoilHose is a cost effective, lightweight alternative to traditional cold tubing interventions. Other notable contract awards during the quarter included several well test contracts in the Middle East, North Africa, and a well construction contract in Europe Sub-Saharan Africa for a customer with whom we are currently providing well flow management services. I will also note that where we have complementary services and operating footprints, Expro is increasingly working with the larger energy services companies to deliver integrated solutions for our common customers, leveraging our reputation for safety, service delivery, and cost effective innovative solutions. At quarter end, our backlog was approximately $2.4 billion or up approximately 6% from the June 30th period. In early October, we also completed the previously announced acquisition of PRT Offshore. And just as a reminder, PRT Offshore is a Houston based company and is the only company that provides a complete hook to hanger solution, enabling comprehensive well completions, interventions and decommissioning services from surface to subsea. Its unique system is designed to allow customers to access the wellbore safely and efficiently, all while reducing the number of personnel on board. The PRT acquisition will enable Expro to expand our portfolio of cost effective technology-enabled services within the Subsea Well Access sector in the North and Latin America region, and also to accelerate the growth of PRT Offshore surface equipment offering in the Europe and Sub Saharan Africa and Asia Pacific regions. As was noted in our press release, October 1 marked the second anniversary of our completing the business combination of Expro and Frank's International. In addition to broadening our services and solutions offering and leveraging complementary operating footprints and customer relationships, the Expro and Frank's merger has allowed us to substantially reduce support costs and improve the combined company's operating leverage in advance of an anticipated up cycle. Over the last five quarters, support costs have averaged 20% of revenue, an improvement of approximately 10 percentage points relative to pre merger overheads. Over the same period, capital expenditures have remained within our guidance range of 7% to 8% of revenue. As we progress through what we believe will be a multiyear growth phase cost and capital discipline should result in margin expansion and a step change in free cash flow generation. Also in October, Quinn and his team reached an agreement to amend our revolving credit facility and extend the maturity of the facility for a further three years. Total bank commitments are $250 million, of which two-thirds is available for draw downs as loans and one-third is available for letters of credit. Expro increased the facility size to $350 million utilizing a conventional accordion feature. We very much appreciate the support of our bank group during the amend and extend process and their vote of confidence in our business plan. At September 30th, a $50 million draw was placed on the facility in anticipation of closing the PRT Offshore transaction, $35 million of which was repaid this week. Total liquidity, including cash on the balance sheet and borrowing capacity under the amended credit facility is currently in excess of $350 million. Turning to our outlook for the remainder of 2023 and into 2024, we expect the energy services market to further strengthen as oil demand continues to increase with consumption expected to reach an all time high of more than 102 million barrels per day in the fourth quarter of 2023. With positive macroeconomic data from China and a continuing stabilization of U.S. and European economies, demand is forecast to further rise in 2024. Against this, supply remains constrained following the announced production cuts from OPEC+ and additional voluntary cuts by Saudi, resulting in a liquids market that is in balance, if not trending, towards a deficit. As of now, supply demand fundamentals are supporting the recent rise in oil prices with EIA revising upwards of their average Brent price forecast to $84 per barrel in 2023 and $95 per barrel in 2024. The impact on both supply and demand and conflicts in Europe and the Middle East, of course, remains a key risk factor for the energy services industry as well as the overall economies. In the gas markets, robust stores in Europe and slower demand growth in Asia have eased upward pricing pressure, resulting in a global gas market that remains in an uneasy near-term equilibrium seemingly tied to winter demand in a year ago. As with liquids, the ongoing conflicts in Europe and the Middle East increase near to medium term risk for supply and demand and gas prices. Longer term supply demand dynamics, energy security and diversification of supply considerations support continued investment in LNG as a structural source of low carbon electricity generation and a critical transition fuel on the path towards global net zero. Strong and generally stable commodity prices are allowing operators to reduce debt, increase investments in conventional and renewable resources and increase distributions to shareholders. Consequently our sense is that operators, particularly the IOC but increasing of the NOCs too, are taking a balanced portfolio type approach to their medium term spending plans, which we expect will result in a steady but a more sustainable up cycle. Operators are prioritizing projects with high and sustainable returns with significant emphasis on both cost and carbon intensity. While the recent announcements by ExxonMobil and Chevron highlight the premium operators placed on scale based economies, there is also recognition that if global liquid demand will remain above 100 million barrels per day at least through 2030, significant investment is required to replace produced reserves. Operator desire to maximize production from existing well stock and reduce emissions is driving increased demand for our production related activities within our well flow management and well intervention and integrity product lines, especially across the Asia Pacific and Latin America regions. Perhaps more importantly, despite some near-term macroeconomic uncertainty, long cycle development and particularly deepwater development a generally cost and carbon advantage. And offshore project sanctioning has grown significantly in 2023 with further growth expected in 2024 in a robust pipeline of projects poised to be sanctioned between now and 2030. The growth in our backlog reflects positive trend in international and offshore markets, especially across our Europe and Sub-Saharan Africa, Asia Pacific regions and in Latin America and the Caribbean as operators look to progress new developments such that we have observed in Norway, Angola, India, Indonesia, Brazil and Guyana. In recent investor meetings, I've noted that Africa has been underrepresented in the recently sanctioned projects. If, as I suspect will be the case, we see additional projects sanctioned in Africa in 2024 and 2025, that will be a sign that the current growth cycle will likely have legs into 2027 or beyond. This combination of increasing investments and sanctioning is driving demand for our services and solutions, especially within our well construction, subsea well access and elements of our well flow management businesses for which we expect good growth in 2024 and beyond. In support of the industry's sustainability goals and demand for low carbon energy sectors, we're also seeing additional activity in the geothermal sector and increased investment in carbon capture, use and storage projects, further indicators of a growth of expected growth in offshore activity and a positive long-term outlook. Despite the positive macroeconomic outlook robust commodity pricing, the number of mature assets reaching the end of their economic and environmentally sustainable life also continues to increase. This is underpinning increased activity, particularly in Europe and the Gulf of Mexico in the decommissioning market and additional demand for cost effective plug and abandonment solutions, which we expect will become a growth driver for the energy services industry and Expro overall. A significant increase in global activity and capacity constraints across the energy services sector, both for people and equipment should support net pricing gains for value-adding service providers over the next several years. As a result of Expro's global operating footprint and differentiated offering across our product lines, we should be able to extract more value from our services and solutions. All combined the outlook for Expro and the broader sector remains quite positive. With that, I will hand the call over to Quinn to discuss our updated outlook for the fourth quarter and the full year 2023.
Quinn Fanning: Thank you, Mike. First, as was noted in our September 27th press release, there is an ongoing investigation regarding the crane wire failure on the vessel that was deploying the subsea module for a vessel-deployed LWI system. As Mike noted, we have not yet recovered our equipment, but expect to do so in Q4 or early in Q1 of 2024. Third quarter results reflect unrecoverable operating costs, totaling $15 million, including an estimate for demobilization costs. As noted in our earnings press release, third quarter results do not include an estimate for recovery and repair costs. However, based on the information that is currently available to us, we do not think that such recovery and repair costs, net of insurance will be material to Expro's financial results. After we have recovered our equipment, we will also be able to determine when our LWI system will return to operational status. But alternative service delivery options and service partner options are available to the Company, and the timing and cost of completing LWI related customer work scopes. At this time, we are not able to assess the timing and potential costs of completing customer work scopes and whether such costs could be material to Expro's financial results. Once we had moved beyond the start-up and commissioning phase, i.e., in 2024 and beyond, we expected annual revenue from our vessel-deployed LWI business of $50 million to $75 million. Until we returned to operational status, this expected revenue will obviously not be a part of our financial results. Contribution margin from vessel-deployed LWI services has been negative to date. However, our further expectation was that, we would have achieved 20% to 25% contribution margin in 2024. This is generally lower than contribution margin generated by our other product lines and reflects high pass-through costs, including the cost of chartering a vessel, as part of delivering an integrated solution to the end user customer. As Mike noted, we believe that there is strong customer interest in cost effective subsea interventions and vessel-deployed LWI solutions, and that Expro has compelling LWI technology and a differentiated offering of services solutions. As a result, we would like to participate in this space, subject to finding an appropriate contracting model, and our ability to achieve sustainable risk-adjusted returns. Slide number 3 of our accompanying presentation summarizes our revised guidance for full year 2023. The midpoint of our previous full year guidance for revenue and adjusted EBITDA was $1.5 billion and $300 million, respectively. Our current expectation is for Q4 revenue of $375 million to $385 million, adjusted EBITDA of $75 million to $85 million and adjusted EBITDA margin of plus 20%. Our Q4 outlook implies a full year revenue range of $1.48 billion to $1.49 billion and adjusted EBITDA range of between $235 million and $245 million and adjusted EBITDA margin range of between 16% and 17%. Note that Q4 and full year 2023 guidance does not contemplate additional LWI related charges. Excluding LWI related unrecoverable operating costs of approximately $32 million that we have recognized year-to-date. Our expectation is for full year adjusted EBITDA of between $265 million and $275 million and an adjusted EBITDA margin of between 18% and 19%. As you can see from the bridge provided, other than LWI related unrecoverable operating costs, the key negative variances are the year-to-date underperformance in our U.S. land business in what we believe to be a transient trough in NLA offshore activities included within our well flow management and well construction product lines. Offsetting such negative variances is a modest adjusted EBITDA contribution from recently acquired PRT Offshore and a combination of additional activity and better activity mix across regions and product lines. Net pricing gains are not currently a material driver to expected 2023 results. I will now turn the call back over to Mike for a few closing comments.
Mike Jardon: Thanks Quinn. I'd like to leave all of you with three key takeaways before we open up the call to questions and answers. First, Expro continues to outpace market growth, delivering and expecting double-digit revenue growth by capturing market share and by introducing new technologies in our established markets. This results of us being able to leverage our global operating footprint, excellent track record and world-class service delivery. Second, while LWI related startup and commissioning costs, the recent incident involving our vessel partners, Crane Wild Ferrier and the softness in NLA, particularly in Q3, have resulted in downward adjustments to our 2023 outlook. Expro remains well positioned to deliver strong top-line growth and benefit from improved operating leverage. As we drive more activity and revenue across a more efficient support structure, we should be able to expand EBITDA margins and improve free cash flow generation. Finally, we were in business because of the quality of our execution. We were successful in achieving and exceeding our merger related synergy targets because we have worked very hard to develop strong and detailed plans, and then we set about by implementing them. As the inevitable challenges arise in a dynamic operating environment, we'll address them in a straightaway manner. We will also continue to be transparent with investors regarding any course corrections to our business plan. What we will not change is our commitment to deliver and derive value by providing cost effective technology enabled services and solutions. With that, I'll turn the call back to the operator for the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Luke Lemoine with Piper Sandler. Luke, please go ahead. Your line is now open.
Luke Lemoine: Mike, Quinn, I hope you all talk about the issues and impacts in NLA in 3Q as far as Well Flow Management, U.S. Land TRS, Well Construction, Gulf of Mexico and Caribbean. Just kind of want to understand this piece is a little bit better, but maybe if we could start with U.S. Land. And Mike, you touched on a little bit, but what are you doing here? How is the business restructured? Do you need the divest pieces? You talked about mobilizing equipment in different basins, and just kind of how you see this, U.S. Land TRS business evolving kind of in the next 6 to 12 months? And then I'll have a few follow-ups as well kind of the rest of NLA.
Mike Jardon: Sure. No problem, Luke. And thanks for the questions. So fundamentally, what we're really experiencing within TRS in U.S. Land is, it's a very competitive landscape and as I said in the prepared remarks, what we're really seeing is, and these are much smaller competitors, these aren't the bigger, broader, in normal competitors you'd think of, they're smaller, privately held, one and two man shop kind of operations. And it really appears right now that they're really just trying to stay afloat and they're chasing market share, they're not chasing pricing. So, we've been continuing to press price in U.S. Land. And frankly, what we're not seeing is the type of discipline that you see from the drillers or you see from the pressure pumpers in U.S. Land where they've all kind of consciously made a decision that they lay equipment down before they start giving up pricing. So really, what we've been doing is, we've been closing a few facilities. We're starting to concentrate our assets and to some of the basins that we can, that we think we can achieve some better pricing with. We do have still have some technology elements in U.S. Land, special run cementation that we think is valuable to our customers, allows us to have some pricing traction. But we're going to contract that business back to a level that we can maintain some better margins. We won't necessarily divest assets. We frankly will move those same assets internationally. We've got land markets in Latin America or in the Middle East or even in Asia that we can utilize those TRS assets. So, that's, I think we've all been trying to understand when does bottom occurs in U.S. Land and what happens with rig rates and just rig count and those type of things, and it's just been softer than I think what anybody anticipated. For us, we're starting to accelerate moving equipment outside the U.S. and to a fewer number of basins within the U.S. That makes sense, Luke.
Luke Lemoine: And then on the well testing NLA, is this just you had the jobs on the calendar, you mobilized and then there were dry holes, so there were no revenues where the job didn't occur. Can you just kind of absorb some costs along with that?
Mike Jardon: Absolutely, that's a really good read of what we were trying to talk about. We had dry wells, we had dry holes in Mexico, in particular, and we had a series of dry wells. Normally, we test about 50% to 60% of our wells that are kind of on the calendar and the way things lined up for the quarter, we didn't test wells that we, at the same rate we normally would. And overall, what we really had was, and I think you've seen it from some of the comments from some of our other peers that there was a reduction in the Gulf of Mexico, in particular, on drilling related activity within the quarter. It just kind of happened to be there was more completions activity. Large number of completion operations being run in the quarter and not quite as balanced of drilling completions as what you normally have. So, it really was a timing of operations. It was rigs in Guyana being in a maintenance mode, it was just kind of how things stacked up from an operational standpoint as the operations kind of layer in over the quarter.
Luke Lemoine: And then just one final one -- sorry to wrap it altogether for NLA, you provided the bridge for the annual EBITDA guidance change, but how do you think NLA performs in 4Q? And when do you think you can kind of get back to more normalized 2Q performance levels, maybe or acts a smaller U.S. Land TRS business?
Quinn Fanning: If you are rolling it all up, Luke, it is Quinn. We were at a kind of a $130 million, trending toward a $140 million of revenue quarter in NLA. As I am sure you saw from our conference call slides in the press release, we are just a bit over a $100 million in the third quarter. So at least our expectations is that, in the fourth quarter, if not the fourth quarter, in the first quarter, you are going to be back in that $130 million to $140 million our zip code in terms of revenue, at least that's our expectation where we sit today.
Operator: Our next question comes from Atidrip Modak with Goldman Sachs. Please go ahead. Your line is open.
Atidrip Modak: Hi. Thanks for taking my question. Quinn, on the LWI business, do you now expect, I mean, I know you mentioned some expectations there, but is that going to be a different approach to the business? Maybe help on impact the expectations around that compared to the approach so far? And what would that mean for cost after you resolve the current issue?
Quinn Fanning: Yes, it is a good question. And really what we are -- the biggest challenges and the biggest shortcomings we have had trying to go operation with the LWI system over the course of last year really has been the vessel partner. We have had a number of vessel-related issues, most significantly around the crane, whether it was a hydraulics issue or it was this now crane wire failure. And we have had somebody that we have partnered with and we willingly partnered with them upfront. And they really have -- they have left us kind of standing at the altar, so to speak. And so really what we're looking at is, is there a -- is that the ideal vessel to be partnered with? Is there -- we are doing over the side deployments today. The original plan was to do deployments through our tower. So, it is really just looking at, who do we partner with? How do we partner with? Do we run the operations? We are the kind of front facing element of the customer engagement? Do we move to more of a traditional? We provide the LWI system and the operator secures the vessel on their own. We are really looking through all of those options here now, because it frankly in the construct we have had, as Quinn alluded to. We are taking a disproportionate amount of the risk here. Even though our equipment has not been problematic, the end user has -- the end customer has had to deal with somebody down time. So that's why we're really trying to look at and evaluate this. The one thing I can tell you is that, the operations we completed and we completed a significant number of these suspensions. They were very efficient. They were very operationally went well and there was a lot of customer interest and excitement around that technology. So how do we be able to deploy that and how do we be able to provide it to customers is really what we are trying to evaluate right now.
Atidrip Modak: Got it. Thanks for that. And then you mentioned rationalization of the North American onshore footprint. Is this something that became more specific during this quarter that brought future challenges to light or was this contemplated for some time now? And maybe also talk about the competitive landscape elsewhere, what kind of structural revenue EBITDA impact does that net out to?
Quinn Fanning: Sure. And so this is not -- the U.S. Land TRS kind of slipping down our operations, that's not -- that's something that's new for us. We've been working on that for several quarters. We've closed some facilities. We've been reducing some of our footprint. It was just really exacerbated in this quarter because we really kind of had the -- and I don't want to say the stars all aligned here because that sounds like an excuse. But what we really had was we just had a number of a series of things that kind of happened all concurrently, and it wouldn't normally be that way. We had some well test operations in Mexico. We had rigs in the Gulf of Mexico that were in a completions phase, not in a drilling phase. So it probably put a brighter light on the U.S. Land, impact, than what it normally would have. Fundamentally, it's a highly competitive marketplace. I can tell you an area like the Permian. There are 34 TRS providers today. And these aren't the big guys. These are small privately held companies. And as we alluded to in the call, they really appear to be chasing market share and not chasing pricing. And they're not showing the level of discipline that we see around the pressure pumpers or some of the drilling guys. So, we're continuing to try to flex our operational footprint to the right size. The other thing that we do bring to this and I alluded to it when I answered the question for Luke. We do have technology that we can deploy into this, whether it's around cementation, improving some efficiencies around those kind of things. So we're trying to get that balance of providing some higher value added services that we can get paid for and get credit for, so to speak, in U.S. Land, but not trying to be competing in a highly commoditized business. That's we're trying to balance in there, and we'll continue to move those assets, to other parts of the world, because we can redeploy them in places like the Middle East or Asia in particular.
Operator: Our next question comes from Arun Jayaram with JPMorgan. Please go ahead. Your line is open.
Arun Jayaram: I wanted to follow up on the 4Q kind of earnings power of the Company, which you highlighted around an EBITDA outlook around 80 million. As we think about 2024, do you think that this represents a good baseline for the kind of given some of the challenges you cited? Is that a good baseline for thinking about 2024? And would you expect to see some growth on top of that, just given further expansion of activity, particularly in international offshore markets?
Mike Jardon: I guess in terms of what the business has currently constituted can do and in terms of adjusted EBITDA if you back out the LWI related issues, $75 million, $80 million in the second and third quarter. Fourth quarter is typically, a good quarter for us. First quarter tends to be the weakest of the year. So, the $75 million to $80 million, I would say, is kind of normalized performance where we sit today. And we're in the budget season today. We represent our budget to the Board in mid-December, so I would expect we'll give guidance sometime between first of the year and, I guess, at the latest when we report fourth quarter results. So that's when we can speak specifically to 2024. But we'll have, obviously, a bit of a revenue headwind if we have LWI out of the mix at least for a couple of quarters potentially. As I mentioned, that was a $50 million to $75 million revenue contributor on paper before we had this incident. But the business is trending in a positive direction. I think as we've talked about in previous calls, we have a relatively significant revenue contribution from Eni Congo project, which will continue for delivery in the first half of 2024, at least on that project, we'd expect a revenue step down as we move into an O&M phase. So the margin should be better during that. But even with LWI out of the mix and the Eni Congo change in phases, we think we'll see good growth in 2024 tough to put a finer point on it before we finalize our budget.
Quinn Fanning: Yes. And I guess, Arun, all I would add to that is we continue to see positive customer engagements, technical inquiries, bidding, tendering activity, those type of things. And the softness that we've had here in Q3, when you look at the numbers, LWI notwithstanding, it was an NLA related issue and it was just kind of the timing of a number of those projects. We still continue to see good solid activity everywhere, and customer engagement and customer sentiment, I think, continues to be positive overall. So I don't see any difference in. I still believe in the fundamentals of offshore international, and that's where we're really well positioned for.
Arun Jayaram: Understood. And just my follow-up, as we think about pricing for well construction in 2024, you highlighted how you saw some reduced activity in the Gulf of Mexico, the U.S. and Mexican side and the Caribbean, does that potentially impact any thoughts on potential for pricing gains as we think about 2024?
Mike Jardon: No, because it really, it was not -- normally, you would have 65% of our activity would be drilling related and 35% would be completions related in a quarter, and it was flip flopped this time. It really just happened to be how the rigs were. So, it wasn't like rigs were stacked or those kind of things. It just happened to be where they in a drilling mode or a completions mode. And for us, we have a greater service intensity when we're in a, when the customer is in a drilling mode as opposed to completions. So it wasn't a fundamental change in the market. It just happened to be how things kind of stacked up. To be honest, as I've looked through the history of well construction over the last 8 or 10 years, we've never seen that phenomenon. It just happened to kind of line up within this quarter. So, I don't think that that's going to, that's not going to have a pricing effect. You take the activity in the Caribbean. We have very strong market share there. We didn't lose share. There wasn't a change in share. It just happened to be -- there were several rigs that were on maintenance in the quarter, and that's not a typical event. So, it's just more kind of how the activity sets lined up.
Quinn Fanning: Some rates have been done and see, I guess, the point is that contracted rig hasn't changed. It's just what they were doing was different during the quarter.
Operator: Our next question comes from Eddie Kim with Barclays. Eddie, please go ahead. Your line is open.
Eddie Kim: I just wanted to follow-up on the softness NLA this past quarter. You mentioned one of the factors here was maintenance activity on certain drilling rigs. Just curious, if this was unexpected or unanticipated maintenance activity? I know the offshore drillers have five year special periodic surveys, which I understood were scheduled or planned for the most part. So just curious, if you could start to see higher maintenance activity on rigs and other regions besides NLA, and just generally, if you could speak to your visibility on offshore rig maintenance going forward?
Quinn Fanning: Sure. It is a great question, and thanks for asking it. Fundamentally, it was not unanticipated activity. It just happened to be that, there was maintenance activity. At the same time, we had dry holes in Mexico. At the same time, we had a greater proportion of our activity being tied to completions related activity and drilling. It really was just kind of how things kind of feathered in and layered in within the quarter. We would anticipate the slowness because of the maintenance activity. But quite frankly, we did not anticipate completely un-forecasted that we were going to have dry wells in Mexico that would relate to no wells being tested throughout the quarter. So, I don't think this is just -- this is kind of a unique situation to NLA. It wasn't that maintenance took longer or they did maintenance, it wasn't planned. So, I don't see where it will have an effect on operations elsewhere in the world.
Eddie Kim: Okay, understood. And just a clarification here, Quinn, you mentioned that your 4Q guide does not include additional LWI charges. Is that because you don't expect additional LW charges in 4Q, or was that comment made more to indicate that, there could potentially be a risk to your $75 million to $85 million EBITDA guide, if additional charges are incurred?
Quinn Fanning: So, what they try to do is re-bucket it and do a couple of different pieces, first of which is operating expenses, they are unrecoverable. We did recognized cost for the third quarter and it provided for the mobilization costs. And so at least we think we have that covered. The second piece, which is recovery and repair related, as I mentioned in my prepared remarks, we do not believe that, those costs would be material to results because there is insurance in that at play, whether it's Expro's or third parties. The other final piece, which we really are in a position to assess until we recover the equipment is, what is the cost and timing of completing customer work scopes. So I wasn't trying to hedge the guidance by highlighting the fact we have not provided for additional LWI related costs is that, we just don't have visibility on additional costs or have any ability to put a specificity around it. So, I am not saying that there is no chance that we would have costs recognized. There is related to LWI related in the fourth quarter. We don't have visibility on those today. And to the extent that we did, we provided trend in third quarter.
Operator: Our next question comes from Steve Ferazani with Sidoti & Company. Steve, please go ahead. Your line is open.
Steve Ferazani: Thanks Mike. Quinn, we appreciate all the detail on the call. I do want to circle around a topic. I know you have already covered. But in terms of your 20% margin guidance for 4Q, there will be a pretty big jump from 3Q and you went through some of the issues. But you are at 18% even without excluding LWI, knowing that 4Q you are not going to get a lot of start-up projects late in the quarter and maybe some early winding down. Just your general visibility because you haven't been a 20% plus margin in quite some time.
Quinn Fanning: In fact, we have excluding LWI related costs.
Mike Jardon: I mean, Steve, I guess, what I would try to frame it up for you. We do have good visibility about activity for the fourth quarter. It's kind of a project by project activity set, and we gave that guidance because that was a -- those were good ranges based upon the activity that we see in fourth quarter. And right now, we're a third of the way through the quarter almost right now, and we still see good alignment with that kind of guidance. So, it's based on projects that are known, activity sets that are known, and that's how we anticipate we'll be able to finish up the fourth quarter.
Steve Ferazani: So is that primarily just a recovery in NLA offshore from where it was the lower level in 3Q, because if you're redeploying land assets, is that primarily where the margin bump comes from?
Mike Jardon: So I mean, we won't see much of a benefit from redeployment of U.S. Land assets in the fourth quarter. It will take us more quarters than that. But that was an ongoing process. But what you are seeing really is a, kind of a more normalized level of activity in NLA overall in the fourth quarter versus Q3. Q3 was just abnormally low because of how the activity sets were. But again, it was not a change in the market. It was not a change in market shares or those kind of things. It was just kind of how some of the operations laid out within the quarter. And that's why we've got good visibility and I have a good level of confidence that we'll be able to deliver the fourth quarter as we've given guidance to.
Steve Ferazani: And if I could get one more in just on the buyback, you haven't bought back for a couple of quarters, but now you've expanded it to 100 million, any reason for the expansion now? And as I look at the stock today, obviously balance sheet is in great shape.
Mike Jardon: Sure. I'll let Quinn comment on in more detail. But part of it was, we were able to go through and we had some limitations previously because of the structure of our original revolver. We were able to build in some additional flexibility with the new revolver that was put in place. And we think that we'll continue to be, as we've done previously, I won't say opportunistic, but we'll go in and buy back stock when we think it makes good sense for us, and we have a balance sheet that gives us that kind of flexibility to be able to do. So part of it for us was the previous $50 million allowance we had on stock buyback was going to expire end of November. So, this was the right time for us to be able to go and reload that. And because we had the latitude to increase it, we felt like that was a good opportunity for us as well.
Steve Ferazani: The $50 million in borrowings in the quarter that's paid down, that was just related to the acquisition. Just because it seemed odd given the amount of cash you have on the balance sheet to begin with?
Quinn Fanning: Yes, it was really, pre-closing draw in regards to the PRT Offshore acquisition is largely about moving cash around the organization and wanting to make sure that we're sufficiently topped up with the parent company in advance of the PRT closing. As we've closed it, as Mike mentioned on the call, we've repaid the vast majority of what we drew down.
Operator: We have no further questions. So I'll turn the call back to the management team for any closing comments.
Mike Jardon: Emily, thank you. Everyone, appreciate you joining this afternoon for the conference call. I know we've got a number of, as usual, a number of sessions set up with individual investors. So look forward to catching up with all of you in due course. Thank you, and have a good day.
Operator: Thank you everyone for joining us today. This concludes our call and you may now disconnect your line.